Operator: Welcome to the Quarter 2 2018 Textainer Group Holdings Limited Earnings Conference Call. My name is Cinera and I will be the operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Executive Vice President and Chief Financial Officer, Hilliard Terry. Mr. Terry, you may begin.
Hilliard Terry: Thank you and welcome to Textainer’s 2018 second quarter conference call. Joining me on this morning’s call are Phil Brewer, President and Chief Executive Officer. At the end of our prepared remarks, Olivier Ghesquiere, Executive Vice President, Leasing, will join us for the Q&A. Before I turn the call over to Phil, I would like to point out that this conference call contains forward-looking statements in accordance with U.S. securities laws. These statements involve risks and uncertainties, are only predictions and may differ materially from actual future events or results. Finally, the company’s views, estimates, plans and outlook as described within this call may change after this discussion. The company is under no obligation to modify or update any or all of the statements that are made. Please see the company’s Annual Report on Form 20-F for the year ended December 31, 2017, filed with the Securities and Exchange Commission on March 14, 2018 and going forward any subsequent quarterly filings on Form 6-K for additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements. I would also like to point out that during this call, we will discuss non-GAAP financial measures. As such measures are not prepared in accordance with Generally Accepted Accounting Principles, a reconciliation of the non-GAAP financial measure to the most directly comparable GAAP measure will be provided either on this conference call or can be found in today’s earnings press release. This quarter we have also included slides to accompany our comments today. The Q2 earnings call presentation can be found on our IR website next to the link for this webcast. At this point, I would now like to turn the call over to Phil for his comments.
Phil Brewer: Thank you, Hilliard. I would like to welcome you to Textainer’s second quarter 2018 earnings call. The momentum we saw during the first quarter carried through the second quarter. We leased out more than 260,000 TEU during the first half of the year, the largest amount we have ever leased out during the first of the year. Total revenues of $140.7 million for the quarter or an increase of 18% over the second quarter of 2017. Lease rental income increased 12% year-to-year to $121.6 million. This was our sixth consecutive quarter of lease rental income growth. Adjusted net income was $17.7 million for the quarter or $0.31 per diluted common share, an increase of $0.7 million or 4.3% from the prior quarter. Utilization averaged 97.9% for the quarter. Our depot inventory remains very low. Furthermore, almost half of our depot containers are booked for lease-out. As these remaining depot units go on lease, our utilization will trend higher. We continue to invest in containers to meet the demand from our customers. We have ordered or taken delivery of $700 million or 360,000 TEU of new containers this year. 80% of the new containers delivered during 2018 have already been leased out. We continue replenishing our new container inventory with levels necessary to support our customers and take advantage of any market opportunities. Lease out demand during 2018 has followed a traditional industry pattern. We leased out approximately 100,000 TEU during the first 2 months of the year largely prior to the Lunar New Year. Lease out activity picked up again in June and July during which period we leased out more than 110,000 TEU. Our overall fleet average rental rate is below current rates due in part to the low cost containers purchased 2 years to 3 years ago. New container lease-outs not only provide attractive returns but also improved the overall yield on our fleet as today’s rates are approximately 20% above the average rate on our fleet. The average rental rate per day on our own fleet has increased almost 4% over the last year. The demand for new containers this year has been very strong. Total output through the end of July is estimated at 2.5 million TEU, which if annualized would be the second largest production year in history. Lessors have purchased 60% of this production. Shipping lines continued to rely on lessors to provide majority of their container needs for several reasons including the impact of increased bunker prices on their profitability and an uncertain outlook due to actual and proposed tariffs. Current new container inventory in factories is approximately 750,000 TEU, which is a 25% decline from the end of the first quarter. We have consistently maintained an inventory of $200 million or more of new containers at factories to meet immediate customer demand. New container prices have been very stable since early last year and are currently around $2,200 per CEU. We expect new container prices to remain around their current level given high steel prices, slim manufacturing margins and strong demand. Resale prices have remained high resulting in more than $11 million in gains on sale for the quarter. Prices are expected to remain around their current levels as a result of the relatively low level of turn-ins, the limited quantity of containers being put to sale and the stability of new container prices. Since containers often sell for 40% to 50% of their initial cost, maximizing sales proceeds is critical to improving investment returns. The dedicated resale professionals in our offices around the world are selling 130,000 containers per year we consider resale to be one of our core strengths. The question of the impact of tariffs on trade has received a lot of attention recently. We have not yet seen an impact on lease-out demand as a result of trade disputes. If trade patterns change as a result of tariffs, supply chains will be disrupted which should lead to an increase in demand. However, if the overall level of trade declines, container demand could also. It is worth noting that recently the IMF reconfirmed its projection of worldwide GDP growth at 3.9% and our customers continued to expect trade growth of 4% to 5%. With our strong CapEx and ready supply of new containers at the factories, we are well positioned for current and projected future demand. New and used container prices and rental rates remained at very attractive levels. Given the strong lease out demand, we have seen this year and the continued dependence of shipping lines on lessors to provide the majority of their containers, we expect the positive momentum we saw during the first half of the year to continue into the third quarter. I will now turn the call over to Hilliard.
Hilliard Terry: Thank you, Phil. I will now focus on the key drivers of our financial results for the quarter. Lease rental income was $121.6 million, a $12.8 million increase and up 12% compared to the year ago period. The increase was driven by higher utilization and increase in average per diem rates and an increase in the size of our owned fleet. Gains on sale of containers were $11.4 million, up almost two-fold on a year-over-year basis. Sales volumes have decreased since fewer containers are available for sale, yet gains on sale continued to be healthy due to strong used container prices which were up 16% year-over-year. We expect demand for resell containers and gains on sale to continue at current run rates. Direct container expenses were down $1.4 million or 10% versus the year ago same quarter. The year-over-year decrease primarily resulted from lower storage expenses as a result of higher utilization. Depreciation expense was $57.8 million, down $1.9 million or 3% year-over-year primarily due to last year’s depreciation policy update and only partially offset by an increase in the size of our own fleet. Annualized depreciation expense for the quarter was 4.5% of average container cost. We continue to expect the run rate to remain close to this level as our recent CapEx comes online. General and administrative expenses were $8.6 million, up $1.3 million or 18% year-over-year. This increase was primarily due to people and technology platform investments. Bad debt expense was $1.4 million or 0.09% of revenue in line with our historical run-rates of 0.5% to 1% of total revenue. For the quarter, interest expense, including realized hedging costs, was $33 million, a $2.6 million increase from the second quarter of last year. The year-over-year increase in interest expense was primarily due to higher borrowing costs as we increased the fixed rate portion of our debt, higher debt balances due to our recent CapEx and higher LIBOR rates. Our average effective interest rate, which includes realized hedging costs, is currently 4.12%, a 3 basis point increase when compared to last year. Yesterday, we closed a $259 million 7-year fixed rate ABS notes offering to free up borrowing capacity in our short-term facilities for additional container investments. This also increased the fixed portion of our overall debt balances. After the completion of this ABS issuance, over 76% of our debt was either fixed or hedged compared to 77% of our total fleet subject to long-term and finance leases and the weighted average remaining term of our long-term and finance leases is 46 months. We will continue to be opportunistic in our approach to the financing markets. Adjusted EBITDA was $109.1 million for the quarter, up 20% or $18 million when compared to Q2 of last year. Our cash position has increased by more than $14 million when compared to the same period last year. And moreover, we have more than $800 million of liquidity for new CapEx. Our tax expense for the quarter was $951,000, reflecting a 4.7% effective tax rate for the quarter. We continue to expect our annualized income tax rate to normalize in the mid single-digits, which will result in an annualized rate slightly lower than this quarter’s rate. Adjusted net income for the quarter was $17.7 million or $0.31 per diluted common share, excluding unrealized gains on interest rate swaps and non-controlling interest. Thank you for your attention. And now, I would like to open the call up for questions. Operator, can you inform the participants of the procedures for the Q&A?
Operator: Absolutely. Thank you. [Operator Instructions] Our first question comes from Helane Becker from Cowen. Please go ahead. Your line is open.
Helane Becker: Thanks very much operator. Hi, guys. Thank you much for the time. Just a couple of questions. On the calls, you guys used to be like the first or like the largest or second largest and you are kind of like the third largest now, which is fine, I assume you’re your customers are still kind of calling you first, but are you seeing increased competition from other lessors in the market that aren’t necessarily bigger than you guys?
Phil Brewer: Helane, hi, thank you for the questions. I am not sure I agree with your first point. Our CapEx this year has been quite strong. So, I am not sure I believe that we are the second or third largest investor, but to get to the meat of your question about competition, the competition in our industry is the same as that has been for many years. There was a brief period last year, when clearly the competition was less than it had been historically, but that period has gone. And I’d say the competition in our industry remains as it has been for years and years.
Helane Becker: Okay. I just would refer to Slide 3, where it just shows the fleet overview and you guys are behind Triton and Florence, which is just where that came from?
Phil Brewer: Well, let me comment on that. Yes, that’s true. Obviously, Triton is the largest in our industry since their merger. Florence, I think you know has a very large exposure to Costco. They grew also because of their merger with Dong Fang which put them into second place overall. But if you were to remove their exposure to Costco, because they are part of – they are related – they have a corporate relationship between the two. If you were to remove that exposure, we believe we would be larger than Florence.
Helane Becker: Okay. And then my other question is just related to containers that you manage versus containers that you own that seems like that business would be a relatively high margin business, would you think about expanding the number, are there other opportunities to expand the number of managed containers?
Phil Brewer: Well, that’s something we have mentioned in our past earnings calls. For years, we grew our own fleet as opposed to our managed fleet. Recently, we have been talking to several entities that are interested in investing in containers with the expectation of looking to grow our managed fleet. We don’t want our managed fleet to become much larger than today. It is currently about 20% of our fleet. Perhaps we would look to target 25% or 30%. We think that’s a more appropriate number, but no larger than that. We do have some interested parties that we are speaking with currently.
Hilliard Terry: And Helane also as you know last year, we did increased the size of our managed fleet as well.
Phil Brewer: Yes, what Hilliard is referring to is when we took over the management of the 180,000 TEU Magellan fleet.
Helane Becker: Right. Got it. Okay, great. Those were my two questions. Thank you.
Hilliard Terry: Thanks, Helane.
Phil Brewer: Thanks, Helane.
Operator: Thank you. Our next question comes from Michael Webber from Wells Fargo. Please go ahead. Your line is open.
Michael Webber: Hey, good morning guys. How are you?
Phil Brewer: Fine. Thanks Mike.
Michael Webber: Phil, just wanted to just follow-up on the question around I guess tariffs and then the impact on trade and you mentioned in your previous answer you talked about Florence and that outsized exposure to Costco. I am just curious maybe getting a bit more granular, are you seeing any mix shifts, I guess within that customer base, anything on the margin that maybe, it’s obviously not impacting the demand – the investment opportunity, the entire space has invested heavily throughout the year despite all the concerns, I guess the market had around competition in kind of Q4, Q1. It’s in a pretty robust quarter. I am just curious with kind of from mix perspective, are you picking up on anything within maybe your Chinese versus non-Chinese customers is anything that would be helpful?
Phil Brewer: I don’t think our customer mix this year is any appreciably different than our customer mix has been in past years. And is that your question, Mike, I am sorry I am not sure I understood.
Michael Webber: Obviously, just maybe changes in behavior and are they moving – are you Costco more heavily leaning towards Florence in this environment, just anything on the margin would be helpful?
Hilliard Terry: Mike, I don’t think we have seen any dramatic change. It is the fact that a company like Costco has certainly been very aggressive. They are really essentially trying to build market share. You have I am sure followed the recent completion of their takeover of OIL although they claim that they will continue to manage the two businesses separately. It’s clear that they have major ambitions and that they continue to grow the business, but I don’t think that’s a dramatic change. I think that other major shipping lines have pretty much the same strategy. They are all trying to continue to build market share and drive efficiency.
Michael Webber: Okay, alright. That’s helpful. Phil, I think you also mentioned earlier, you have talked about your utilization and though I see some of your managed book, I am just curious around your utilization you guys are 100 to 150 basis points inside of your two public peers, firm level at almost 98%, but you have got a bigger managed book from the rest. I am just curious if I look at that delta, which is not huge, but not as significant. How much of that is just noise from kind of the consolidated calculation between your own versus managed books versus maybe utilization pickup that’s still ahead of you for the back half of the year?
Phil Brewer: I don’t think it’s really an issue between the owned and managed book, we treat both our fleets similarly. The primary driver here is earlier in the year, depot container rental rates out of Asia were relatively low and we intentionally held back from lease in those containers out of Asia in an expectation that as that supply would dry up, we would be able to achieve better rental rates on that equipment. And I believe it’s proven to be true. We are now – we now have virtually all of our depot equipment that’s in Asia book and the rental rates are certainly higher than the rental rates we saw earlier this year, so we expect our utilization to trend up into the third quarter. But achieving high utilization is always possible depending on what you are willing to do with respect to the rental rates?
Phil Brewer: No. Absolutely, I think that has been our main strategy at the beginning of the year is to try to push our average rental rate up. And it’s the fact that new containers, new production containers that we put on a hire are leased out at a rate which on average is about 20% higher than our existing average fleet rate. But simultaneously, we are also trying to push the rates up on our existing fleet. And to achieve that we sometimes have been now holding back on some containers and not leaving them out all as fast as we would have normally, so that’s the main reason.
Michael Webber: Right, okay. We are not talking about a big number, but it seems like that there is no reason why you couldn’t get to kind of high 98.5%, 99% range that seems like that would still be ahead of the years being taking?
Phil Brewer: Yes, absolutely not. To be honest if we wanted to increase our utilization rate by 100 basis points, it’s only a matter of us dropping the rate a little bit in the current market.
Michael Webber: Okay. So just one more for me and I will turn it over and feel this is kind of a just a higher level question, I didn’t realize this, but you mentioned in your prepared remarks that if you are at annualized production, this year would be the second largest year ever, obviously that we are annualizing that’s a big if, but it kind of just speaks to the level of demand, I guess we have seen throughout ‘18. I guess on the back of that demand and the fact that we have had strong steel prices tariffs the revenues of kind of the uplift from waterborne paint, box prices are still pretty flat year-to-date. And I am just curious and maybe you can help me make sense of why haven’t we seen box prices move higher, I guess from the other angle why haven’t box manufacturers been able to gain more margin and maybe it is there is something we are missing in terms of kind of not understanding why we haven’t seen maybe that box price had jumped to kind of 23, 24, 25 and then kind per diems kind of moving in tandem?
Phil Brewer: Michael, we are asking ourselves the same question to be very honest. One explanation we have is that although there is a limited number of manufacturer, their production sites are very fragmented and they also have to maintain some production at the various factories to keep those factories alive. And we are coming a few years after very low production levels. I men last year was strong, but before that it was very low. And the only explanation we have is that the manufacturers are really trying to ensure that those factories get sufficient volume so that they can justify their existence. But it is a bit puzzling that in a market that has been so strong you have manufacturers that are actually announcing losses, I would agree with that.
Hilliard Terry: There is very intense composition even though there are a few manufacturers. There is intense competition. And surprisingly there is actually new manufacturer that has started up recently as well, so all these factors play into the container price.
Michael Webber: Okay, that’s helpful. Thanks for the time guys.
Hilliard Terry: Thank you, Mike.
Operator: Thank you. [Operator Instructions] Our next question comes from Michael Brown from KBW. Please go ahead your line is open.
Michael Brown: Hi, good morning guys.
Phil Brewer: Good morning.
Michael Brown: Yes. You guys noted that the new lease rates are coming on at levels above your average lease rates about 20% above, so kind of first off what is the daily per diem lease rate that you are currently putting on the new containers at? And then as you look at to when those containers in 2015 and 2016 roll off, if you kind of assume lease rates and demand are at the current levels when would we really start to see that pickup come through, is it 2020 or 2021 of that or is it something we just start to see that traction come through in 2019?
Phil Brewer: The current lease rates are in the neighborhood of $0.60 per CEU per day, the low $0.60 depending on who the lessee is, how strong their demand is, when they need the containers is they need them yesterday, do they need them – this is a request for delivery a few months in the future. The real impact of the re-pricing, which we have noted in the past and I would say it again that we purchased many containers in the time period you mentioned in the 2015-2016 years that were very inexpensive containers. I think the average cost per CEU for the containers we purchased in 2015 I believe or prior to ‘16 I am sorry don’t remember, which was in the neighborhood of $1,500 per CEU and we are selling used containers today for not too far off of that and used 20 foot containers cash price plus rebuild can be in the neighborhood of $1,400 or more. Those containers are returning rental rates that are significantly below current rental rates and they have impacted the revenues that we are generating on our fleet. However, when they re-price and the re-pricing is shown in a graph in our investor presentation next year, the re-pricing effect is not that dramatic. Where it really becomes dramatic is in 2020 and 2021 where eventually you will see that the rental rate per CEU per day on some of those containers is less than $0.40 per day versus today’s rate that’s more in the range of below $0.60 per CEU per day.
Michael Brown: Okay, thank you. Changing gears a bit there, so really the proportion of new containers that have been purchased by shippers versus lessors is in that, I guess, 40:60, so 60% mark for the lessors. It seems like you kind of noted that the tariffs actually could support that and on the higher bunker costs and the low freight rates, but also kind of help support those levels. Is there kind of any potential for that to actually take up, are you actually seeing that, that could increase, because it’s kind of stayed at that level over the last couple of quarters, so just interested to hear your thoughts there?
Phil Brewer: Well, if we look back many years, you would see that the split was much closer to 50:50 and in some years in fact lessors bought less than 50%. However, it has – the trend has changed over the past several years to where lessors generally are buying the majority of containers. And although we have seen years when the percentage was higher than 60%, the trend seems to be around 60% if you were to average the past several years. I might – I don’t think we are expecting that, that trend will – that the percentage split with the lessors is going to trend up beyond 60% this year. I think if you are looking to model, I think that’s a fair assumption to make it 60%.
Michael Brown: Okay, thanks. And then you guys have said that the gain on equipment sale was strongest quarter and now you kind of expect to stay at those elevated levels, but really with these high utilization levels, wouldn’t that be hard to maintain as it is – really it’s not a whole lot of containers that are available for sale. Just kind of interested to hear your thoughts there?
Phil Brewer: Well, we have had volumes come down slightly, but we have seen used container prices remain pretty strong. And so in spite of slightly lower volumes, we are still seeing strong gains on sale and so we do expect that level to continue.
Michael Brown: Okay, thank you. That’s it for me.
Phil Brewer: Thank you.
Operator: Thank you. Our next question comes from Scott Valentine from Compass Point. Please go ahead. Your line is open.
Scott Valentine: Thanks for taking my question. Just around the financing, I know you guys talked about I think you said 76% of your financing is long-term. Just wondering what that number can grow to and then correlated with that, I guess where you see your cost of funds going, I think this was up 3 basis points year-over-year, but I thought it will be up more than that given the move in rates we have had?
Phil Brewer: Scott thanks for the question. We have done so far this year two financings both longer term financings and they total in aggregate around close to $600 million. So obviously, we as we continue to fix more of our debt, I would say there is upward pressure on the actual rate. And so I would expect that to trend up versus down. In terms of where that number can ultimately be, I think we are probably looking to fix more of our debt today, but if you actually look at sort of the balance of how much of our overall total fleet is subject to long-term leases, we are pretty well matched and hedged in terms of the percentage of our debt that’s fixed versus the percentage of our fleet that’s subject to long-term leases. So that’s where we are today. But as I said earlier, we are going to continue to be opportunistic. I think something else to note is on the financings that we have done this year, if you look at the required principal amortization, it’s much lower than you have seen in the industry, so that’s another positive that you really don’t see unless you really look under the hood on some of the financings we have done.
Scott Valentine: Okay, that was very helpful. Thanks. And then just last question one of – when I talked to investors about the stock and they know it’s trading at pretty good discount at the book value. And just wondering in terms of capital management, any thoughts there on may be repurchasing shares at given your trading a decent clip below book value?
Phil Brewer: That’s the discussion that we have at every board meeting. We have a board meeting coming up, I am sure it will be discussed again. We did have a share repurchase program several years ago. I really can’t comment on whether there would be one in the future. We were well aware our shares are trading at a discount. And it’s just something we will have to take into consideration.
Scott Valentine: Okay, fair enough. Thanks very much.
Phil Brewer: Thank you.
Operator: We have no further questions at this time. I will now turn the call back to Mr. Hilliard Terry for closing remarks.
Hilliard Terry: Thank you. I just wanted to say thanks to everyone for joining us and we look forward to speaking to you as we move through the quarter. If you have any other questions, feel free to give us a call. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.